Operator: Good afternoon, ladies and gentlemen. Welcome to the TELUS 2013 Q1 Earnings and Guidance Conference Call. I would like to introduce Mr. John Wheeler. Please go ahead.
John Wheeler: Welcome, and thank you for joining us today for our First Quarter 2013 Investor Conference Call from Montréal, where earlier today we held our annual meeting. The call is scheduled for up to 1 hour. The news release for our first quarter financial and operating results and detailed supplemental investor information are posted on our website. In addition, Darren Entwistle's slides and speech from this morning's annual meeting are posted on our website. [Operator Instructions] Let me now direct your attention to Slide 2. This presentation and answers to questions and statements about future events, such as 2013 guidance and intentions for dividend growth and future share repurchases, are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with securities commissions in Canada and the U.S. Moving to Slide 3. This outlines today's agenda. We'll start with opening comments by President and CEO, Darren Entwistle; followed by a review of operational highlights by Joe Natale, our Chief Commercial Officer; John Gossling, our CFO, will provide a review of the first quarter financial results before concluding with a question-and-answer session. Let me now turn the call over to Darren, starting on Slide 4.
Darren Entwistle: Thanks, John. Hello, everyone. Before we discuss our first quarter results, I'd like to take this opportunity to reiterate our company's 4 new shareholder-friendly initiatives announced this morning, which I believe clearly demonstrate our strong and our ongoing commitment to our investors. Firstly, we announced an increase in our quarterly dividend to $0.34 per share payable in July. This is supported by the strength of our free cash flow and double-digit EPS growth this past quarter. Notably, this increase is the fifth of 6 that we targeted 2 years ago and represents a year-over-year increase of 11.5%. Secondly, we announced an extension of our dividend growth program from 2014 through 2016, targeting semiannual dividend increases of circa 10% per annum. Thirdly, we announced our intention to purchase up to 15 million TELUS shares for up to $500 million by the end of 2013. Finally, and importantly, we announced our further intention to purchase up to $500 million in TELUS shares in each of 2014, 2015 and 2016. In totality, your company is targeting to purchase up to $2 billion in TELUS shares, which serves to increase the value of our remaining shares. Combined, the share purchase and dividend growth programs target a return to shareholders of up to $6 billion or some $10 per share from 2013 through 2016. These 4 initiatives, in addition to our stock split last month, are consistent with our overarching goal to provide ongoing superior investment returns to our valued shareholders, and clearly, we are delivering against that axiom. Turning now to our strong first quarter results. TELUS realized revenue and EBITDA growth in both the wireline and wireless segments of our business. Importantly, our ongoing investments in broadband data technology and services, combined with our unwavering dedication to put Customers First in all of our actions, is enhancing our customers' loyalty and attracting new customers to generate strong, bottom line profitable growth. Indeed, we earned 109,000 new customer connections this quarter with the addition of new postpaid wireless customers, TV subscribers and as well, high-speed Internet connections. Notably, we once again led the Canadian wireless industry in net additions, ARPU, EBITDA margins, monthly churn of only 1.1%, and finally, lifetime revenue per client. We also delivered significant churn improvements in our high-speed Internet and TV services that support the economic value of those propositions. Additionally, growth in both our wireless and wireline business segments generated strong first quarter EBITDA growth of 5.4%, contributing to our excellent EPS growth of 14.3%. Looking ahead, I believe, as does the executive leadership team believe, that TELUS is well positioned to achieve our 2013 financial growth targets and to continue advancing our national growth strategy focused on data and wireless. I am confident we can continue to build excellent momentum in 2013 and beyond, driven by a strong balance sheet, positioning us well for the upcoming spectrum auctions, a robust earnings enhancement program targeting incremental EBITDA of $250 million by 2015 and importantly, our team's unrelenting focus on delivering exceptional client experiences across all segments of our business. I now invite Joe to take you through a concise review of our key first quarter operating results before John covers some of our financial highlights. Thank you.
Joseph M. Natale: Thanks, Darren. Good morning, everyone. Starting on Slide 5, we saw healthy first quarter postpaid wireless net additions of 59,000, with the mix continuing to shift towards smartphones and other higher-end postpaid plans. TELUS maintained a strong market share of industry postpaid net additions as reported by our major competitors at approximately 39%. Although postpaid net additions were down slightly year-over-year, we took a very healthy share of the market and maintained our strategic focus on quality, high-value smartphone-centric loading. This positively impacted our ARPU and churn performance, which I will turn to in a moment. Overall, our total subscriber base was up almost 5% over last year, while higher-value postpaid was up nearly 7%. Moving to Slide 6. TELUS reported its 10th consecutive quarter of year-over-year ARPU growth. This was driven by strong ongoing wireless data growth as we continue generating robust smartphone adoption. Our smartphone subscriber base increased 29% and now represents 68% of our postpaid base, a 12 point increase over last year. This is being supported by the continuing rapid expansion of our LTE network, which now covers more than 70% of the Canadian population. Blended ARPU was up 2% in the quarter. This was driven by 17% data revenue growth and moderating voice ARPU erosion, with wireless voice revenues down only slightly by 0.3%. As shown on Slide 7, TELUS again reported lower churn. The blended churn of 1.48% was our lowest for our first quarter since 2007. Postpaid churn was also down to a low of 1.11%. Our industry-leading churn reflects 3 primary factors: one, the success of investments in evolving our network technology; two, our disciplined acquisition of retention investments, particularly directed to smartphones; and three, the power of TELUS' intense focus on an enhanced customer experience. Notably, our investment in cost of retention was relatively stable in the quarter at 10.9% of network revenues compared to 10.7% in Q1 of last year. Turning to Slide 8. Our low churn rate and ARPU expansion supports our continued industry leadership in lifetime revenue per subscriber at more than $4,000. This allows us to take a more measured approach to acquiring new customers in line with our consistent focus on higher-quality subscribers. This was particularly evident in the first quarter, and moving into the second quarter, we are able to take a more considered approach in our response to certain competitor offers. We found it was simply not necessary to match many of the rate plan pricing promotions in the market. Accordingly, first quarter cost of acquisition per gross addition was up only slightly at $369 in spite of the heightened competitive intensity for our first quarter and our focus on higher-value smartphone loading. TELUS' marketing efficiency as a ratio of COA per gross addition to lifetime revenue remains industry-leading. In summary, these metrics clearly show that our strategic focus on smartphones, high-quality loading and enhanced customer experience is leading to profitable subscriber growth for TELUS and our investors. Turning to wireline on Slide 9. You can see the increased scale we are continuing to build in TV and high-speed Internet. TV subscribers are up 34,000 in the quarter, and the base grew by 29% over last year, approximately doubling in the past 2 years as we continue to expand market share. We continue to see healthy demand for our premium Optik TV offering, with our share of the available market stronger than it's ever been. There also continues to be excellent pull-through growth and trajectory in the demand for our high-speed Internet service. We added approximately one Internet subscriber for every 2 TV net additions. We continue to see positive momentum in the overall economics of Optik TV and Internet, including ARPU, churn and COA. ARPU continues to increase as a larger proportion of our TV customers come off introductory pricing and add channels and content to their packages. ARPU is also benefiting from the impact of rate increases. We also continue to evolve our service offerings. Last week, we announced that our Optik on the go customers can now view Video on Demand with access to more than 1,500 movies and TV shows over WiFi or our 4G networks. Given the magnitude of significant positive momentum on Optik ARPU and churn, the lifetime revenue of Optik TV has increased by more than 30% since Q1 last year, while lifetime revenue for Optik high-speed Internet has increased by 50% over last year. As shown on Slide 10, combined TV and high speed net additions of 50,000 once again significantly exceeded residential NAL losses. This was the 11th consecutive quarter we have seen this trend. All in all, total revenue-generating unit growth was up slightly over the same period last year and represented an improved mix. Although residential NAL losses were down considerably year-over-year, we are still seeing substitution impacts, and competition remains intense but stable. We continue to identify and embrace efficiency opportunities to mitigate substitution and competition impacts, while at the same time balancing the need to deliver an enhanced customer experience. Efficiency initiatives supported our ability to once again generate another quarter of wireline EBITDA expansion. And on that note, I will turn the call over to John to walk you through the first quarter financials.
John R. Gossling: Thanks, Joe, and hello, everyone. I'm on Slide 11. First quarter wireless results continue to be very strong across the board. Wireless total and network revenue both increased by more than 6%, reflecting continued subscriber growth and strong data revenue growth. EBITDA for the quarter increased by more than 7%, while the EBITDA margin on network revenue increased by 50 basis points to an industry-leading 48.6%. This is the fifth consecutive quarter of year-over-year margin expansion, an impressive result considering the continued strong adoption of smartphones and associated impact of their higher subsidies on acquisitions and retention expenses during a highly competitive quarter. Capital expenditures decreased by $17 million or 11% as investments supporting the expansion of our 4G LTE network declined. Simple cash flow increased by $63 million or 13% this quarter due to strong EBITDA growth and the reduced CapEx. Slide 12 shows the combined impact of our data ARPU growth plus the increase in our subscriber base, which resulted in wireless data revenue increasing by $85 million or 17% in the quarter. As Joe mentioned, this growth was driven by strong smartphone service revenues due to higher penetration of smartphones and associated take-up of data plans, as well as higher data roaming volumes. Data now represents 43% of network revenue compared to 39% in the same period a year ago. Slide 13 shows our improving wireline financial results. Revenue increased by 3% due to strong data revenue growth from TV and high-speed Internet subscriber growth, combined with rate increases in mid-2012, and to a lesser degree, in March of this year. Wireline EBITDA increased by 2%, the second consecutive quarter of growth, reflecting higher revenue and improved Optik TV and high-speed Internet margins. The EBITDA margin was relatively stable at 28%. Wireline capital expenditures increased by 15%, mainly due to higher expenditures to support growth, as well as construction of our Kamloops data center, which is slated to open this summer. Slide 14 shows our strong wireline data revenue growth of $64 million or 9%. In addition to TV and high-speed Internet subscriber and ARPU growth, this result was also driven by increases in hosting and managed workplace revenues. For the quarter, data revenue now represents 60% of external wireline revenue, up 4 points from a year ago. Putting the 2 segments together, TELUS reported strong consolidated results as shown on Slide 15, with revenue and EBITDA growth up 5%. Reported earnings per share, which reflects the 2:1 stock split, increased by over 14% to $0.56, which I will discuss in detail on the next slide. Free cash flow in the quarter of $358 million matched the strong performance of a year ago. Notably, underlying free cash flow before cash taxes was up strongly by 25%. Slide 16 provides a detailed breakdown of reported EPS drivers this quarter. Higher EBITDA growth was the primary driver, which added $0.06 to the upside. Overall, EPS increased by 14.3%. In April, TELUS successfully issued $1.7 billion in new debt securities in 2 tranches as outlined on Slide 17. This included $1.1 billion of 11-year notes with a 3.35% coupon and $600 million of 30-year notes with a 4.4% coupon. The net proceeds of the offer will be used to repay the company's outstanding $300 million 5% notes due June 3 this year at maturity to fund the early redemption of the company's outstanding $700 million 4.95% notes due May 15, 2014, and to repay outstanding commercial paper and for general corporate purposes. Overall, we are very pleased with the debt offering and demonstrated once again TELUS' excellent access to capital markets based on our strong liquidity and balance sheet. We'll wrap up on Slide 18. These debt offerings significantly reduce our financing risk and strengthen our enviable debt maturity profile. Notably, with these 2 new debt issues, the average term to maturity nearly double to more than 9 years. Overall, this positions us well for continued investment in our business operations, the upcoming spectrum auctions and share repurchases. Let me pass the call back to John Wheeler to begin the Q&A session.
John Wheeler: Thanks, John. Peter, can you please proceed with questions from the queue for Darren, Joe and John.
Operator: [Operator Instructions] Our first question comes from Maher Yaghi from Desjardins Securities.
Maher Yaghi - Desjardins Securities Inc., Research Division: When you're looking at your cash flow management and your upcoming dividend increases and buybacks that you announced this morning, are you staying within the 1.7 to 1.5 to 2x in terms of net debt-to-EBITDA ratio that you have mentioned in the past as you being comfortable in -- when you look out into 2016?
Darren Entwistle: So the answer to that question is yes. And I can tell you that in addition to that, we've also calibrated our dividend growth model within our 65% to 75% payout ratio range, and you should expect us to view the midpoint of that range as the equilibrium that we would strive for.
Maher Yaghi - Desjardins Securities Inc., Research Division: Great. And I calculated roughly about $9.50 in terms of cash that you are expecting to return to shareholders over the next 4 years. What are your thoughts about the use of cash in terms of investment -- investing opportunities in Canada apart from the upcoming spectrum auction and your regular spending capital? Do you see any leeway? You're leaving enough leeway that you can make potential acquisitions if they come up for -- in front of you?
Darren Entwistle: So the answer to that question is also yes. I think we have the ability, given the strength of our balance sheet, the strength of our cash flow and the strength of our earnings on a multi-period basis to both participate in a fulsome fashion in the 2 upcoming spectrum auctions, as well as make the organic investments in our business necessary and to complement that through successive NCIB programs and our dividend growth model, while respecting both our credit ratios from a net debt-to-EBITDA perspective, as well as the dividend payout ratio range that I've articulated. In terms of where we're going to spend our money, I don't think there's been any more predictable organization than TELUS over the past 13 years. We're going to spend our money on broadband technology, on wireless and wireline. On the wireless front, we're doing that as we speak with our LTE deployment. On the wireline front, we're going to push fiber deeper into the access layer of our network to support our TV product, our high-speed product and also the backhauling of wireless traffic as a result of our small cell deployments. We think that's the right thing to do. There are some complementary areas to that, that we think make good sense, such as the investments that we've made in our 2 new intelligent Internet data centers to support our ambitions in respect of cloud computing across both wireline and wireless, I think, are sanguine investments for us. But Canada is our focus. Broadband is the key enabler for this organization. That's deliberate, the revenue results, the operating earnings results, the EPS results and the cash flow results. And when we harvest our investments, what do we do? We take a portion of it and we plow it back into the servitude of the strategy, so that we can continue with our global leadership, and then we take a portion and we return it to shareholders through things like our dividend growth model and NCIB. And I don't think there are very many organizations globally where investing for the future and returning significant amounts of cash to shareholders are mutually inclusive, but that's the case at TELUS.
Operator: Next question comes from Greg MacDonald from Macquarie Securities.
Gregory W. MacDonald - Macquarie Research: Question goes to either Darren or John, and it's really more definitional on the cash distribution announcements today, and if you bear with me, I have just 3 short ones. One, can we assume that 2 times per year, 5% each dividend bumps is the plan to continue through '14 through '16?
Darren Entwistle: Sorry, John keep putting us on mute here. So we're going to go forward with 2 increases per year, so you can do the math on the circa 10% annually. We use the word circa judiciously. I would remind you that our dividend increase, that $0.34 that we just announced, represents a year-over-year growth rate of 11.5%. But we're going to park in the 10% neighborhood and so you can do the compounding impact in terms of that happening on a twice-per-year basis.
Gregory W. MacDonald - Macquarie Research: Okay. And Darren, just a quick follow-up. On the buyback itself, will that be a discretionary buyback? In other words, will you have quiet periods and be opportunistic within the quarter on that? Or will you actually have a consistent daily purchase program?
Darren Entwistle: So I'll let John speak to that and then I'll close it out if he gets it wrong.
John R. Gossling: So Greg, there's elements of what you've mentioned. There's various ways we can do the buyback. There are private market transactions. There are automatic programs that you mentioned that can help us to stay away from blackout periods. And then there are opportunistic purchases that we can make. So we're looking at a mix of all of those. And I think depending on what's happening in the market, we'll drive our strategy on what the mix is exactly. But we're certainly committed to this program and getting it done this year.
Gregory W. MacDonald - Macquarie Research: Okay, that's helpful. And then finally -- I actually take a bit of a different view from there. I'm wondering, if you had opportunities whereby you had excess cash, and clearly, you've made a balanced approach to where you spend that cash. I don't think anyone would argue that you're underspending on CapEx. If you had excess cash down the road for whatever reason, is the $500 million firm? Or will you stick with, look, we're going to share cash, to the extent that we get it, with shareholders? And if that means we reap some sort of outsized return down the road, that $500 million could grow a little bit?
Darren Entwistle: It's discretionary in nature, Greg. I don't think we've ever been accused of underspending on CapEx before, but I'd point it out as a significant milestone now for our organization. But we are clearly in a situation where the sources of cash are chronically exceeding the uses. And if that delta gets exacerbated, then I think investors know our mindset is to return surplus cash to them. We think that's the right thing to do and you can count on that behavior on a prospective basis.
Operator: Our next question comes from Dvai Ghose from Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: It's great to see another 2% increase in wireless ARPU. But looking forward, one of the things that concerns me is not the new entrants, they seem to be increasingly irrelevant, but one of your incumbent competitors has been pursuing some pretty aggressive promotions with both their premium, as well as their flanker brand. I'm wondering whether you see that as a risk to your ARPU growth. And in addition, when I look at the constituents of your ARPU growth, they were a little different than I thought. As you mentioned, the 4.5% decline in voice ARPU is one of the most modest we've seen in recent quarters and the 12% increase in data ARPU was also relatively modest compared to recent quarters. Is there anything to read into that? Or is that just quarter-by-quarter differences, which are not particularly meaningful?
Joseph M. Natale: It's Joe, I'll take a crack at that. Let me just start by talking about sort of ARPU overall, then I'll get into sort of what's happening on the flanker brand. Specifically, as overall headline, I'd say to you that we're on track with respect to our overall wireless revenue guidance of 68%. So we feel comfortable in that vein. There are a number of factors that are supporting expansion of ARPU. If I kind of quickly go through some of those, some of them are obvious. Smartphone adoption is at 68%. There's no question that it's headed towards 100% in the fullness of time. Data adoption growth is happening within our marketplace. We have a whole host of customers that we call data-light customers that are not great users of data yet, but they have a smartphone, and therefore, there's opportunity to actually turn those data-light customers into greater consumers of data as well. You'll see us with very much a focus on more for more in the marketplace, always looking for ways of increasing value in the plans, but trying to keep prices in a disciplined manner. And we're seeing people also trading up in terms of their plans for voice or cost certainty in the voice plans towards unlimited. So as much as we talk about unlimited in the past, we're seeing customers trade up for that certainty. And we're seeing, certainly, mix improvements between pre and post that have also impacted ARPU as a whole. Now in terms of some of the downward pressures on ARPU, we're certainly seeing more aggressive rate plans. You mentioned that in your question, more aggressive rate plans, especially in the flanker brand category coming from our competitors. These all-in rate plans are probably the most aggressive they've been ever from that perspective. And we look at pay-per-use in text and voice, no question, in time, it's becoming completely asymptotic from that perspective. And also, with respect to ARPU, as we see the growth of tablets, machine-to-machine and other sort of data-only devices, there's no question that, that will also change the profile on ARPU. The only one, I guess, I missed on the upside is roaming. We talked of roaming in the past and getting our greater growth of share in roaming is also helpful to us. So I mean, overall, we see -- everything points to small positive ARPU increases going forward. ARPU is very hard to predict, as we've said in the past, and what's under our control more than anything else, I think, is 2 things. One is churn. Churn, for us, has been the great lever we've pulled as an organization. The economics of having strong loyalty play dividends in -- pay dividends in many ways. We've been able to kind of stand back from some of the madness in the marketplace in Q1 because of that. We saw some aggressive behavior that was aimed at really ARPU-dilutive promotions in the marketplace. As I said, our focus was more on higher-quality loading with a more-for-more strategy, so that coming from us as a result. The other thing I'd say is that we worked very hard on the cost structure and you've heard me say in the past that AMPU, in the end, is more important than ARPU, and the focus has been squarely on AMPU. If I look at the loadings, no question given the aggression on the flanker front, we've seen a proportionally higher mix of Koodo loading in the marketplace for us. TELUS is still doing very well as a brand, still seeing steady growth, but there's been a lot of action in the flanker category as of late. But the thing to keep in mind is that our Koodo margin is every bit as good as our TELUS margin on a percentage basis. Koodo does very well. It's a low-cost, strong margin brand for us in terms of simplicity of go-to-market, the nature of our retail experience, assortment, et cetera. So for us, we don't see any margin dilution. You've seen our margin at 48.6% in the quarter. I don't see any margin dilution coming from that mix either. So again, for us, the magic is churn and keep focusing on managing bottom line costs and AMPU rather than trying to predict ARPU every step of the way.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Great. And on the voice versus data in the quarter?
Joseph M. Natale: Well, no question, on the voice front, we've seen the moderation overall. One thing I would say is that, as you look at more of these plans, the combination of all-in plans and sharing plans that are going on, are starting to have a harder time really understanding the level of consistency across the landscape with respect to how people are allocating voice versus data in the nature of those plans. So I think it's, in some cases, becoming a bit arbitrary. In the fullness of time, we're going to a world, especially in LTE, where voice over LTE will be really a data service as well, where it becomes all more of a data focus as a whole. In this sort of transitionary period, that split is becoming harder to truly kind of nail down and compare on a relative basis.
Operator: Our next question comes from Jeffrey Fan, Scotia Capital.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Switching gears a little bit to the wireline segment, more on the residential side. Can't help but notice the difference between your residential voice erosion versus your peers. You're seeing a pretty dramatic improvement in that line erosion. Wondering if you can talk about the competition that's going on with Shaw and also the substitution effect related to wireline. Is that some wireless substitution in your market?
Joseph M. Natale: Sure. It's Joe again. No question that we are seeing the benefit of our focus and strategy on broadband to the home. As you've heard me say in the past, broadband to the home is the new dial tone, and our goal as an organization is to wrap compelling services and capabilities around that high-speed connection. And I think you've seen very clearly that the success of Optik TV has been a big factor in that equation. We have a great entertainment experience that's incredibly compelling. And when customers are choosing to go with TELUS, whether they are currently TELUS customers or whether they're not TELUS customers, they're coming back to TELUS, if you will, they're choosing to not just come back with the high-speed connection but they're bringing the TV service capability with it and often home phone. And therefore, that's why we're seeing the moderation with respect to the home phone NAL losses, which were -- came down substantially from a year ago, minus 33 access line erosion on the residential side compared to a year ago. So it's -- that's at the heart of the equation as to why it's happening. The fact of the matter is that the majority of our access line losses now are not because of competitive intensity with our cable competitor. It really has come down to wireless substitution as the major reason why there's access line erosion. And I think we all have our own views or stories of people that we know that have cut the cord with respect to wireline services in favor of wireless. For us, being a national wireless provider, we actually are a net beneficiary with respect to that phenomenon that's happening on a national basis. We serve the needs of our wireline residential customers in Western Canada and Eastern Québec. But our wireless footprint is national in nature, and therefore, we benefit from that so we are, in a lot of ways, more insulated from that impact on a broader economic basis. But at the heart of it, at the heart of it is the compelling TV offering, the investment we made in broadband services, we now have almost 2.5 million homes that are addressable from an Optik TV point of view. And the great marketing efforts that we made on that front, combined with our Customers First focus, has given us momentum in that marketplace like never before.
Operator: Our next question comes from Glen Campbell, Bank of America.
Glen Campbell - BofA Merrill Lynch, Research Division: I had 2 wireline questions, the first on TV. So heading into the second quarter now, you've got higher pricing for new customers on TV. In addition, you've got customers rolling off their initial 3-year contracts. So with that in mind, should we expect to see a moderation in the rate of net adds in TV? And then my second question was on the efficiency initiatives in wireline. We're seeing EBITDA growth in wireline, it's great to see. Can you give us some color on some of the initiatives you are taking there, the timing of restructuring this year and the timing of benefits?
Joseph M. Natale: Why don't I start with respect to TV loading and then maybe John, you can jump in with me on some of the efficiency stuff that you are doing. So first of all...
Darren Entwistle: Just in terms of Glen's question as well, the price increases, Glen, have been in respect to both TV and as well, HSIA.
Joseph M. Natale: Right, right, in both product categories. So as we've said in the past, Glen, we are trying to take a balanced approach between loading and profitability overall. I'd have to say that I'm actually much happier with the RGU mix in this quarter if you compare Q1 of this year versus Q1 of last year. Yes, TV loading was higher last year at 44,000. But high-speed loading was, frankly, identical year-over-year at 16,000. And then look at the difference with respect to the access line erosion, it's considerably different from 47,000 last year to 33,000 this year. So as much as Q1 is seasonally a lower loading quarter for TV, the mix was a very good mix. Our share of the available market is the strongest it's ever been. If you go look at overall available nets in the marketplace, how our competitor did overall with respect to TV loading, I think the share is incredibly strong from that point of view. So we'll continue to take that balanced approach as we head into Q2. Q2 is typically seasonally a stronger loading quarter. A lot of it has to do with sort of the promotional intensity and what happens. We still have some promotional intensity in the marketplace, nowhere near what it was in Q1 of last year. If you recall, Q1 of last year, there was a lot of froth in the marketplace. We saw some very aggressive plans, promotions put forward by our competitor. And when there's that type of froth in the marketplace, it does stir customers to start thinking about their provider. On the wireless side of the business, every time there's a new handset, it provokes someone to think about, should I get that handset and maybe I should think about changing providers. On the TV or home front, it's not really a shopper category. There has to be some either seminal event or something provoking people to think about making a switch. More and more, we're certainly focused on that being our marketing initiatives. But we're not in complete control over some of the promotional intensity that happens and ebbs and flows over a period of time. So we'll see how that goes. But our focus has very much been to continue capturing share, but profitable share, trying to stay away from what we call the promotion hoppers, the very low end of the market where they tend to hop back and forth between service providers, going after higher-value households and really focusing on the overall economics. And I mentioned earlier that our COA as a percentage of lifetime revenue has gone up substantially on TV and on high speed. I think that speaks to the overall economics of what we're trying to accomplish in that space.
Glen Campbell - BofA Merrill Lynch, Research Division: Joe, I'm not hearing you say, though, that with the maturing base and the higher pricing, that you're expecting a moderation in subscriber over the next few quarters, is that fair?
Darren Entwistle: I think, let me color it this way, Glen. If you look at the 34,000 nets that we did on the TV front, that's in a market where the overall market growth was around minus 8,000. So we're taking a significant share position. And if you look over the last 5 quarters, we've taken between 140% and 211% market share within the TV domain. And if you do the math on this one, it's, of course, infinite because the market went down by 8,000. So I think it behooves us to be judicious and focus on the holistic economics of our TV and HSIA product lines. I think the right way to look at it is the way that Joe articulated, to be in the 50,000 broadband category, adding HSIA and TV, and have a mitigating NAL loss situation. I think that's smart management. So if that means that we have to be more in the mid-30s on the TV front, then that's a trade-off that I'm willing to make. And I think the question on a go-forward basis should be, okay, what can we do to drive ARPU accretion on TV and HSIA as a result of it? And I think the opportunity there is quite significant and I've talked about it previously. What can we do to continue to see significant churn improvements in TV and HSIA? And if we can leverage that combination of ARPU accretion and churn reduction, the lifetime value for both TV and HSIA goes up quite incredibly. And if we can couple that with improved COA efficiency and COR efficiency, I like what that does to drive the economics of our wireline business. And the key differentiating parameter for TELUS now is that we're not a one-trick profit pony anymore. We're an organization that's generating solid financial returns on wireless. But prospectively, the performance of our wireline business in terms of the financial condition, I think, is also going to improve and we're going to get a contribution from not just one part of our business, from both. So if you're wanting to know where we're at in terms of a net adds perspective, I would be okay with the mid-30s, if it comes with solid broadband HSIA, if it comes with resi NAL mitigation and if we can drive ARPU accretion, churn reduction, better lifetime revenue and better COA efficiency. That's the dynamic that we're focused on.
John R. Gossling: So Glen, it's John, on the second part of your question, which is a nice companion to what Darren just described. On the overall efficiency, and this isn't just wireline, this also applies to wireless, there's a couple of things. One is, just for transparency, we're going to start to show what the actual restructuring costs are by segment. So for example, if you look in the EBITDA box -- you can look at this later, but on Page 17 of the MD&A, you'll see we're going to call out what the restructuring costs are within the EBITDA for the quarter. The reason I mention that is you'll see that in Q1, the restructuring charges were relatively flat year-over-year. So what's happening is as the year progresses, we're going to really ramp up the restructuring activity. There's certainly loss going on, there always has been as I've said to you, I think. This isn't a project that all of a sudden we decide to do at TELUS. This is something that's part of our DNA that happens every day. And the restructuring will start to really ramp in Q2, and we'll start to see the benefits in the EBITDA line into Q3 and Q4. So I'd say stay tuned, more to come on that. But it's been relatively flat year-over-year, but it is definitely ramping. There's a lot of activity that's going to be driving that.
Joseph M. Natale: Glen, if you want, I'll give you specific examples. I look at COA on TV and it's down about 30% from where it was a few years ago, largely because some of the initiatives that we're alluding to here. We've gone after every element from the cost of set-top box to using refurbished boxes, the amount of time spent in the home, all the various component parts, truck rolls, repair rates -- by refurbishing plants, we're getting drastically better repair rates in areas of the country where we had historically poor repair rates. So we've gone after that very, very aggressively both on the COA front and repair rate front. We continue that capability on self-serve. We launched a self-serve capability to allow customers to pick their own theme packs on the Web or on TV. And dramatic change number of calls coming to our call centers. Customers can just say, I want that content right now, click. We've taken a big step in improving the clarity of our bills. I think one of the reasons people call us is lack of clarity on their bills. And the bill has been seriously truncated and clarified and made much more simple. The team has taken a hard look at our content lineup, saying which content really stirs economic growth and loading growth for us and which content maybe isn't as important and has renegotiated a whole bunch of content contracts, the contracts where we have a balance of ability to do that. In some cases, we don't because it's such important content, we don't have the balance ability to do that. In other cases where we do, we've been renegotiating those contracts. So to John's point, it's systemic and it's broad-based, and we track it on a regular basis in a very structured way.
Operator: Your next question is from Drew McReynolds from RBC Capitals.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: John, just for you, a couple of housekeeping items. First, I think last quarter, just with respect to CapEx, you kind of alluded to the breakdown between wireless and wireline CapEx spend being similar to 2012. And obviously, in Q1, on the wireless CapEx side, it was a little light. Just wondering if, for the rest of the year, you still see that breakdown similar? And then a very small housekeeping. Just on the lower depreciation/amortization, noticed -- I think you changed a couple of the lifetime estimates, et cetera. Is that now a new quarterly run rate, if you will, upon which we obviously add our own growth assumptions with the investment you're still making?
John R. Gossling: Thanks, Drew. On the first part, on the CapEx, I would say that the trend for the year will probably, and you've mentioned what's happened in Q1, will probably be a little different than it was last year in terms of the seasonality. So we're definitely off to a quicker start on wireline. There are some pieces that we mentioned, the Kamloops data center in our opening comments, there was some investment on business growth and also, there was a slight impact of the change back to PST in British Columbia and being able to accelerate some spend to avoid the PST costs. So I think wireline's off to a slightly quicker start than it has been in prior years. And on the flip of that, I think wireless may be a little slower. But overall, our view hasn't changed on what the mix is going to be. And so you can read into that what you'd like. But Q1 is probably not a bad trend for wireline and it's probably a little light for wireless the way the year is going to play out. On the depreciation/amortization, I think that is a good run rate now. You mentioned some of the asset life changes and that's a mix of a handful of things. But going forward, we see that as a pretty good run rate. There will be some increase as the current year CapEx comes into the picture, but it's a pretty good base.
Operator: Our next question comes from Vince Valentini, TD Securities.
Vince Valentini - TD Securities Equity Research: A question on your e-health business in electronic health records. I mean, you've been building this business for a few years now and we often see press releases come out about new product developments or even acquisitions, contract wins, but you never talk about it on these kind of calls. Is there anything you can share with us about the success you're having there, how big that business is now, how much it's growing, is it profitable or is it still in somewhat of a J curve upswing?
Darren Entwistle: Thanks, Vince. The reason, actually, we don't talk about it is no one typically asks us about it on these calls, so thank you for doing that because it's a part of the business that we believe in quite deeply. To answer your question directly, to kind of frame it out for you, the size of that business is about $0.5 billion at the revenue level. I can confirm that the business is EBITDA positive. The EBITDA growth rate for the business has been running around 15% on a CAGR basis. We're very pleased with the progress that we are making. The focus for the business is really in 3 areas: electronic health records for hospitals and institutions; electronic medical records for doctors and clinicians; and the acquisitions that we have made of late, Wolf Medical, KinLogix in Québec and PS SUITE in Ontario, part of the CMA, have all been within the EMR space. We now have a strong position in that area. And in Canada, electronic medical records have only penetrated about 50% of the doc's offices so we think there's a tremendous upside there. And of course, how does that data move around and how is that data stored? Well, that data moves around on broadband networks, broadband wireline networks and broadband wireless networks leveraging smartphones and tablets. And where is it stored and where is it managed? I would say cloud computing Internet data centers, such as the type that we've been building in Kamloops and the one that we've now got operational in Rimouski. The other area for us at the consumer level is personal health records. I believe today that consumers are hyper-connected and super empowered, and they will drive a lot of social change in Canada on a go-forward basis, and clearly, they're going to have to take greater responsibility for their own health, for the health of their children and the health of their families. And giving them tools that can allow them to do that is at the nexus of our strategy. And again, they're going to want to make sure that, that information is portable. So once again, that information is going to move across broadband wireless and wireline networks and get stored in our data centers. And I can tell you that the same way wireless penetration in Canada, a long time ago, it used to be 0 and now it's going to go past 100%. I believe the same thing is going to be true for electronic health records. And we are going to be in a very strong position with both the network capability and the application to leverage for our shareholders the economic value associated with that. But perhaps more importantly, as a Canadian, to leverage technology to drive health care transformation, so that we can drive better patient outcomes for less money spent, drive the cost efficiency and as well, leverage technology so that we can, in a future state, drive a shift from what it is today the remediation of disease to the future where we could drive the prevention of disease, particularly within the chronic disease management front. And then the last area for us is really eviscerating time and distance in Canada. Most of our health care intellectual property, think about the physicians, is resident within our urban centers, but that's not where everyone in Canada lives. And to the extent to which we can leverage our technology, our tele-health technology, our remote patient monitoring technology to export that intellectual property from urban centers out into the rural domain, I think that's a terrific outcome for Canada. I think it's a great outcome for human beings. I think it is a tremendous illustration of the best use and most powerful use of technology. I think it's good for the environment along the way. And if you project forward into 2020, Canada is expected to spend $220 billion per year on health care. And I question the affordability of that, but that is the size of the market. And I think if we can develop the significant position that we aspire to in this market and we are driving better economics for health care, better outcomes for patients and we're leveraging our core assets to do it, that's a growth aspiration that I think has got tremendous runway for organizations and -- for our organization and will create tremendous value for our investors. And one of the things I've been contemplating is, maybe in the future, without being specific, but I mean, maybe next year, one of the things that we could do from a disclosure perspective is break out our health care business, show you the magnitude of the business, show you the growth trajectory in terms of the economic value creation from an earnings and a cash flow perspective and show you the correlation that it has with the core broadband technology assets of TELUS. And I think greater exposure of those parameters to investors would be a healthy thing for our stock price.
Operator: Colin Moore from Credit Suisse.
Colin Moore - Crédit Suisse AG, Research Division: Switching back to wireless, I was wondering if I could touch on a topic that came up a bit during the wireless code hearing, specifically, discounts for customers who bring their own phone. Among the incumbents, I believe TELUS has been a bit at the forefront of this type of offering, allowing 10% discounts, for example, if someone does bring their own phone. And I know Canadians have clearly shown an affinity to the subsidy contract model. But maybe could you characterize how you see that subset of the market evolving for TELUS? On the one hand, it seems accretive if you would otherwise have been subsidizing the phone. On the other hand, it could stimulate consumers to stay out of contracts longer. Any thoughts on that would be great.
Joseph M. Natale: Sure, Colin, I'll take that. You're right, we did lead the way with respect to offering rate plan discounts on people who bring their own phone. We are seeing a growing number of consumers that want to bring their own device and we'd be happy to accommodate them. I believe that smartphone life cycles are changing dramatically. It used to be that a particular smartphone or maybe one of the early talk and text flip phones, once it lived out its useful life, would kind of wind up in the bottom of the drawer somewhere and maybe they get thrown out. And in my house, they wound up in the kids' playroom where they would pretend to talk on them when they were young. Now they're older and they want their own smartphones. But now there is a whole kind of hand-me-down opportunity, as a parent or someone has an iPhone or BlackBerry or something that is still a great device but wants to repurpose that device to one of their children or a family member or a friend. I think that's the biggest opportunity in the marketplace and we're focused very much in building not just the plans but building all the capability around that space. At the end of the day, we need to have offerings that play to all segments of the market. There is a high-value segment of the market where they want a premium smartphone and they're willing to make the commitment around the premium smartphone, we're willing to, in a way, finance that smartphone, and we've led the way in making that arrangement quite transparent for them. We were the first to offer handset transparency where your handset balance shows up on your bill and very clearly understand to what extent we've made the investment on your behalf. And we are seeing the declamation in that commitment over time and allow you the ability to upgrade whenever you want based on paying off that balance. That's been good for the customer in terms of clarity and good for our economics because there is clarity and simplicity in that arrangement and they know they can move to the next device whenever they pay off that balance. And then the middle parts of the market where we've -- our team's been working hard to find more moderately priced smartphones. And there's some great Android devices right now that are priced below $300, for example. And we can offer a different level of rate plan, a different level of commitment, much more modest subsidy. In the world of Koodo, it winds up being part of a tab that we were the first to innovate with respect to the idea of a tab. And then, there is a SIM-only category where I just talked about that, as a whole, tend to be more students or other family members. So I think our market is evolving and we're managing that life cycle of that device as best we possibly can. And that's been our focus on that front.
Operator: Last question comes from Tim Casey, BMO Capital Markets.
Tim Casey - BMO Capital Markets Canada: Can you talk about how you're thinking or how we should think about capital intensity at TELUS given your 3-year capital return program and the obviously, the assumptions you've made in your strategic plan there?
Darren Entwistle: I think the [indiscernible] on this particular front. In terms of the investments that we needed to make on both the wireless and the wireline front, I think they're going to continue. We're going to have to keep investing in broadband technology beyond the LTE phase for wireless, whether that's through LTE Advanced or continuing to invest in the small cell underlay opportunity on the wireless front. I think investments on the broadband side of things are going to be a necessity to be competitive and maintain the leadership position that this organization has achieved. On the wireline front, we're going to have to push fiber deeper into our access layer to support not just the solutions that we want to deliver on TV and HSIA, but to backhaul the microcell wireless traffic within the household, within those urban environments where we've been deploying small cell technology. And that's, of course, from our perspective, table stakes to remain competitive as an organization. We'll be as efficient as we can on the capital deployment front. And if that allows us to inch our hybrid CapEx intensity down or our blended CapEx intensity down, you can count on us to do exactly that and have programs that address that specifically, but we have to keep investing for the future. Tim, I'll go back to my previous comment in terms of all that we've contemplated from fiber on the wireline side through to what we need to invest on the wireless front, we can do all of those things, plus, if appropriate, pursues certain corporate development initiatives, plus, if appropriate, secure magnitudes of spectrum through spectrum auctions and still stand by our commitments in terms of our dividend growth model such as the earnings power that we would see on a multi-period basis such as the strength of our balance sheet and our pretax free cash flow, so we can get those 2 things done simultaneously on a mutually inclusive basis. And I really don't think there are any companies that I'm aware of in our industry that can give forward-looking guidance on dividend growth for 2014, '15 and '16 with the specificity of twice per annum at the magnitude of circa 10%, and then top it off with a $2 billion NCIB program between '13 and '16 and embark upon the strategic investments that we think are a necessity, the ones that I've articulated to support both our wireless business and its competitiveness, and as well our wireline business. In fact, I would argue that the viewing of CapEx intensity on a bifurcated basis is becoming increasingly an antiquated concept because it really is blended broadband technology, because it's incestuous in terms of the relationship between wireline and wireless when you're moving information on both a sedentary and on a mobile basis. And you look at our product line on TV with our end screen portfolio, you look at the small cells with their wireline backhaul in neighborhoods, it really is completely mingled together. But I would say the areas that we've been in previously in the past in terms of CapEx intensity holistically are indicative of the ZIP code where you can expect to find us in the future.
John Wheeler: Okay. Thank you. That's it, everybody. Thank you, Darren and John and Joe, for that. And thank you, investors, for taking out the time in this very busy day. Thank you.
Operator: Ladies and gentlemen, this concludes the TELUS 2013 Q1 Earnings and Guidance Conference Call. Thank you for your participation. Have a nice day.